Agata Wiktorow-Sobczuk: Good afternoon, ladies and gentlemen. Welcome to the earnings call for the third quarter of 2025 of Polsat Plus Group. Can we please move on to the next slide. We will begin with the presentation of our results delivered by Andrzej Abramczuk, President of the Management Board; Maciej Stec, Vice President for Strategy; and Katarzyna Ostap-Tomann, Chief Financial Officer and ESG Officer. [Operator Instructions] With that, let's move on to the presentation. Andrzej, the floor is yours.
Andrzej Abramczuk: Good afternoon, ladies and gentlemen, and welcome on the conference regard of the results for the third quarter of 2025. Thank you for joining us today. Here is our agenda. First, I will share the key highlights of the quarter. Next, we will review operating and financial results in detail. Finally, we will summarize and move to the Q&A session. Let's begin with the key highlights for the quarter. Let's start from the telco segment. In the B2C and B2B service segment, our new multiplay offer is performing above expectations. Since its launch in June, 11% of our customer base has already migrated to this offer. Additionally, bundles with the 3 or more services are gaining strong momentum, sales have nearly tripled. Average revenue per user also showed consistent growth, up 4% year-on-year. Turning to the Media segment. This was an exceptional quarter for the sport. We broadcast the Volleyball Nations League and the World Championship, and we strengthened our portfolio with premium rights, including Formula 1, Bundesliga, UEFA Conference League and European League. This investment strengthened our position and driven audience engagement. However, the concentration of major sport events in the one quarter results in the visible increase in content cost. Looking ahead, we secured exclusive right in Poland for WTA tour tennis from 2027 until 2031, a great addition to our support offering. In the Green Energy segment, we are coming to an end to develop investments. The Drzezewo wind farm has been completed and the commercial launch is planned for early 2026. Also, in the third quarter, we carried out our major maintenance on one of biomass unit. The energy market remains challenging with low energy price. Let's take a quick look at the number. In the third quarter, revenue was PLN 3.4 billion and EBITDA amount PLN 766 million. ARPU per B2C customer exceeded PLN 80, up 4%. Our multiplay customer base surpassed 3 million and continue to grow, supported by the success of our multiplay strategy. Like I said, our reach programming and sport offer are very popular with the viewers. And in the third quarter, audience share rose to 22.7%, up 1 percentage point. Green energy production reached 237 gigawatts and was lower year-on-year due to the scheduled maintenance of the biomass unit. Overall, this quarter delivered solid operating performance, especially in B2C, B2B and media, but at the same time, we faced certain challenges. Let's now to the more detailed review of our operating results. Maciej, over to you.
Maciej Stec: Thank you, Andrzej. I'm pleased to share the operating results from each of our business segments. I'll begin with the Media segment, focusing on both television and online performance. Could we move to the next slide, please? In the third quarter of 2025, our viewership figures and position in the advertising market remains strong. Polsat, our main channel, was the market leader with a 7.3% audience share, while our thematic channels collectively reached 15.5%. Altogether, TV Polsat Group achieved a total audience share of 22.7%, marking a 1 percentage point increase compared to last year. The TV advertising and sponsorship market in Poland was slightly softer in the third quarter, declining by 2.6% year-on-year. The reason behind this is that last year, there were major sporting events that took place in Europe, the Olympic Games in Paris and the UEFA Euro championships in Germany. Our advertising revenue followed a similar trend. However, in real terms, this was only PLN 8 million lower than in Q3 2024. As a result, our market share remained stable at 27.6% in Q3. Let's move to the next slide, please. Given the seasonal nature of the media business, it's important to assess our results over a longer period. Over the first 9 months of 2025, we delivered strong audience figures. Our group's total audience share rose to 22.4% year-on-year with our main channel Polsat accounting for 7.4% and our thematic channels contributing 15.1%. These achievements are in line with our long-term strategy. Turning to the advertising market for the first 3 quarters of 2025, the sectors performed as we had anticipated with growth rates in the low single digits. We outperformed the market, increasing our advertising revenue by 1.7% to PLN 981 million, which resulted in a market share of 28.2% for the 9-month period. Let's move on to the next slide. We consistently maintain a very strong position in the Polish online media market according to media panel data. In the third quarter, Polsat-Interia Group was the clear leader among Internet publishers in Poland, achieving the highest average monthly number of users, 20.5 million and a total of 2 billion page views during the quarter. What's important, Polsat-Interia Group is also a market leader in the mobile category, holding the top spot for 3 consecutive months in Q3 of 2025. These results demonstrate the strength and stability of our digital platforms, and we will continue to strengthen our position in the online media segment. Can I get the next slide, please? Our autumn programming schedule delivered strong results, combining popular entertainment formats with major sports events. Flagship shows such as Dancing with the Stars, newly acquired format of Millionaires, Your New Home, Your Face Sounds Familiar, attracted large audiences, while premium sports broadcast further strengthened our position. This quarter, we broadcast several exceptional sporting events. Notably, we earned matches of the Volleyball Nations League, including 12 games held in Poland, where our national team won the competition. We also covered the men's and women's Volleyball World Championships in the Philippines in August, September, where our men's team won the Bronze Medal. These Volleyball events are a vital part of our programming, supporting viewership and confirming our leadership in sports broadcasting. However, they also led to higher one-off content costs during the third quarter. Additionally, we have recently expanded our sports rights portfolio, acquiring rights to major events such as Formula 1, Bundesliga and the UEFA Conference and Europa Leagues. These investments contributed to higher content costs, especially when compared to last year when our cost base was lower as we no longer held the rights to the UEFA Champions League. Overall, as a result of these initiatives, our audience share rose to 22.7%, confirming the effectiveness of our programming strategy and the strength of our diversified content portfolio. However, this quarter's results were affected by increased content costs. Next slide, please. Let's now look at the B2C and B2B services segment and its performance in Q3 2025. Next slide, please. We continue to see strong performance in our multiplay offering, supported by the new offer introduced in June 2025. As Andrzej has already highlighted, customer interest in our new multiplay packages is very high, and we are successfully moving customers to this offer. At the end of the third quarter, more than 3 million customers were using our multiplay services, representing 53% of our total customer base. Over the past year, we grew the multiplay base by 41,000 customers, again, thanks to the continued effective upselling of our services. Our multiplay customers account to 11 million RGUs and increased over 1.1 million year-on-year. This growth was also driven by the new multiplay offering and strong demand for bundles consisting of 3 and more services. Importantly, churn remains low at 7.4%, which reflects the strength of our multiplay strategy and the value it brings to our customers. Let's move to the next slide, please. Our strong multiplay performance is closely linked to the overall growth of our contract services portfolio. In the third quarter, we delivered more than 13.3 million contract services, representing a 2% increase compared to the previous year. Mobile telephony continued to be a key driver of growth with 195,000 more services provided than last year. We also observed as a key driver, demand for Internet services, adding 207,000 mobile and fixed connections year-on-year. The pay TV base continues to face pressure, but this is partly offset by the growing adoption of IPTV and OTT solutions, which help us maintain a competitive position in the pay TV segment. Next slide, please. As a result of our consistent long-term execution of the multiplay strategy, we continue to see growth in ARPU per B2C customer. In the third quarter, ARPU increased by 4% year-on-year and reached PLN 80.3. This progress was driven by solid sales of mobile and Internet services as well as the consistent execution of our multiplay approach. I would like to highlight that for the first time, our average revenue per customer has exceeded PLN 80. This is a clear evidence of the effectiveness of our strategy. We are also observing a constant rise in the number of services used by each customer with an average of 2.36 RGUs per customers at the end of the third quarter. This result demonstrates our successful upselling and bundling efforts. As Andrzej mentioned earlier, sales of packages with 3 or more services have almost tripled since we introduced the new multiplay offer in June. This not only shows strong customer interest in our new offer, but also proves that there is further potential to increase the saturation of our customer base with additional services in the future. Let's move to the next slide, please. In the prepaid segment, we maintain a high stable base of 2.41 million services despite operating in a highly competitive and challenging market environment, which I underline quarter-by-quarter. ARPU in this segment increased by 3.4% year-on-year, reaching PLN 18.4. This growth was supported in part by the launch of new and attractive pay TV packages on Polsat Box Go, Polsat Lovers, Premium and Premium Sport priced at PLN 20, PLN 30 and PLN 50, respectively. Each package builds on the previous one, offering flexible access to up to 180 TV channels, including 24 premium sports channels, a wide range of exclusive sports broadcast and a rich VOD library. I'm confident that this new offering, together with our continued efforts to increase the value of prepaid customers will help us further grow prepaid ARPU even in the face of the market challenges. Next slide, please. In the B2B segment, we continue to maintain a stable customer base of around 68,000. I would like to underline that the B2B market is very demanding, and we operate in a highly competitive environment. Our main objective in this area as in all other segments is to increase customer value. ARPU per B2B customer increased by 2.1% year-on-year, reaching almost PLN 1,550 per month. This growth demonstrates our commitment to providing high-quality services tailored to the specific needs of our clients and to building strong long-term relationships with our business customers, which ensures continued resilience in this segment. Next slide, please. Let us now turn our attention to the Green Energy business. The next slide, please. In the Green Energy segment, production in the third quarter was 21% lower year-on-year, amounting to 237 gigawatt hours. This decrease was mainly due to scheduled major maintenance on one of our biomass units, which continued throughout the quarter and significantly reduced output. Such maintenance is routine, occurring every 8, 10 years with the other units expected to undergo similar work in around 5 years. Despite this temporary reduction, total green energy generation for the first 9 months of the year increased by 15% year-on-year, reaching 830 gigawatt hours. This growth was driven by the expansion of our wind energy capacity and our largest wind farm, Drzezewo has now been completed and is currently generating energy as part of its technical commissioning. It's worth mentioning that energy production in the first 9 months of 2025 was noticeably affected by weaker weather conditions. Nevertheless, wind energy continued to be the main driver of growth. Production from wind sources increased by 56% year-on-year in the third quarter and by 73% for the 9-month period, reflecting the positive impact of our new capacity. Can I have the next slide, please? EBITDA in the Green Energy segment amounted to PLN 175 million for the first 9 months of 2025, representing a 14% decrease year-on-year. In the third quarter, EBITDA stood at PLN 52 million, 37% lower than the previous year. This decline was primarily the result of scheduled major maintenance work on the biomass unit, which significantly reduced production during the quarter. And the comparison to last year is impacted also by an exceptionally strong base driven by higher contracted prices and more favorable supply terms for biomass energy. Ongoing low market energy prices also continued to affect profitability. The completion of the Drzezewo wind farm doubled our installed wind capacity to 289 megawatts. With this project, we have reached our target capacity in wind energy, combined with stable energy prices going forward, this positions us to strengthen EBITDA in the coming period. This milestone marks the final stage of our investment program in renewables. Ladies and gentlemen, before I hand over to Kacha, I would like to very briefly summarize our operating performance across segments in the past quarter. In Q3 2025, our Media segment achieved excellent viewership results with a 22.4% audience share in 9 months of 2025. We maintained a strong position in the advertising market with a 28.2% market share and ad revenue growing by 1.7%. The third quarter, the financial results of the Media segment was affected by higher one-off content costs due to new sports rights and major volleyball events. In the B2C and B2B services segment, multiplay continues to drive growth. Over 3 million customers now use multiplay services and ARPU per B2C customer exceeded PLN 80 for the first time. The commercial momentum of our multiplay offer is very good, supporting our operating results in the coming quarters. Prepaid and B2B segments remain resilient with growing ARPU supported by attractive offers and tailored solutions. In green energy, we completed the Drzezewo wind farm, reaching our target wind capacity and finalizing our renewable investment pipeline. The operating and financial results of this segment were heavily impacted this quarter by the renovation of the biomass unit, which is a one-off event. I expect that going forward, EBITDA will improve on the back of higher wind capacity, providing that energy price remain at least stable. Still, I would like to signal that reaching our strategic EBITDA goal in 2026 is going to be challenging, and I would rather anticipate a result in approximate PLN 400 million next year. That said, please remember that our renewable energy projects are long-term, 30 years investment, and this is how they should be analyzed. Kacha, please, come on, the floor is yours.
Katarzyna Ostap-Tomann: Thank you. Good afternoon, everyone. Can I have the next slide, please? Before moving to a detailed discussion of financial results, I want to emphasize what Andrzej and Maciej have already mentioned. In the third quarter, we faced several one-off events. In the Media segment, we had higher costs from the new sports rights and major volleyball events. In the Green Energy segment, we carried out a major overhaul of one of our biomass units. These factors had a clear impact on our Q3 results. Revenue declined by 4.1% to PLN 3.4 billion. Adjusted EBITDA reached PLN 766 million, primarily impacted by higher content costs this quarter. We closed the quarter with a net profit of PLN 57 million. Free cash flow for the last 12 months adjusted for green energy investments was PLN 860 million at the end of Q3. I would like to signal that in the full year 2025, Free cash flow may be around PLN 600 million to PLN 700 million. Net debt-to-EBITDA stood at 3.54x, slightly lower than at the end of 2024. However, I expect this ratio to rise in Q4 or Q1 2026 due to the upcoming payment for the renewal of the 900 megahertz frequency reservation pending the regulator's decision. Can I have the next slide, please? Here, you can see a detailed breakdown of revenue and EBITDA by segment. Revenue was significantly impacted by lower results in the Green Energy segment, driven by several factors. First, we recorded lower energy sales due to weaker market prices, reduced production volumes caused by the biomass unit maintenance and a strong comparative base in Q3 2024 when we had exceptionally favorable biomass energy contracts. Second, there were no revenues from hydrogen bus deliveries in this quarter as these are scheduled for Q4. Revenue from buses is recognized on the same principle as in the real estate at the time of delivery to the customer. These revenues will fluctuate depending on the delivery schedule. In the B2C and B2B services segment, the main reason for the revenue decline was weaker equipment sales. This reflects a general market trend as customers replace phones less frequently, which reduces overall device sales. Turning to EBITDA. The impact of content cost in the Media segment is clear. This quarter includes cost of new sports rights, which Maciej presented in detail and significant costs related to global prestigious volleyball events, which were compared against at a very low base last year when Champions League costs were no longer present. I want to stress that a large part of these costs related to volleyball events are one-off and will not repeat in the coming quarters. EBITDA in B2C and B2B services was affected by lower margins on equipment sales and higher costs, including network and employee-related expenses influenced by last year's inflation and increases in the minimum wage. Maciej has already discussed the reason for the EBITDA decline in the Green Energy segment. Next slide, please. Our adjusted free cash flow after interest and development CapEx in the Green Energy segment was PLN 860 million over the last 12 months, which I consider a very good result. Interest costs remain a key factor that puts pressure on free cash flow. We are already seeing savings on interest costs due to the interest rate cuts, but please remember that these reductions are reflected in our results with some delay and will continue to lower our debt servicing costs in 2026. I also want to highlight telco frequency reservation payments. PLN 645 million relates to the renewal of the 2,600 megahertz band in Q4 last year and the 700 megahertz block. We are still waiting for the regulators' decision on the terms for extending the 900 megahertz reservation. After that, we do not expect further renewals for several years. Finally, development CapEx in green energy is gradually declining as we are now at the final stage of these investments. Next slide, please. On this slide, we show the breakdown of capital expenditures by business segment. In the TMT area, which includes both B2C and B2B services and the Media segment, we operate under a CapEx-lite model. The CapEx to revenue ratio stood at 8% in both the third quarter and 9 months of 2025. CapEx in this segment mainly relates to Netia's fixed network and IT. As mentioned earlier, development CapEx in the Green Energy segment is almost completed. In Q3, CapEx in this segment was PLN 113 million and PLN 420 million for the first 9 months. I still expect elevated spending in Q4 due to the settlement for the execution of the Drzezewo wind farm, after which our development investments are essentially over. Can we go to the next slide, please? My final slide, as usual, covers the group's debt. As mentioned earlier, net debt-to-EBITDA ratio, excluding project financing, was 3.54x, including all group debt together with investment loans for renewable energy projects, the ratio was 4.03x. The debt structure and maturity profile remain unchanged. In Q1 2026, we resumed scheduled principal repayments on the term loan maturing in 2028. The bonds mature in 2030. Please note the weighted average interest cost, 7.3% based on the repo and the balance sheet date. This rate is steadily declining with interest rate cuts. Recall please that at the end of 2024, we reported 8.3% and this will have a positive impact on our free cash flow going forward. That's all from me today. It was a challenging quarter financially, but I want to emphasize that much of the pressure came from one-off factors that will not repeat in the coming quarters. Thank you for your attention. And now I hand over to Andrzej.
Andrzej Abramczuk: Thank you, Kacha and Maciej. Our results to the third quarter in line with our expectations and were under impact of the several one-off events. Firstly, the Media segment was higher costs related to the sports right and secondly, in the green energy, scheduled maintenance of biomass unit reduced production. On the positive side, our new multiplay offer continue to perform very well. It supports ARPU growth and will driven retail revenue in the coming period. We also had a strong start at the autumn programming schedule, combined with robust sport offering, this delivered excellent viewership has strengthened our position in the advertising market. Finally, we completed the Drzezewo wind farm, this doubled our installed wind capacity and marked the end of capital-intensive investment phase in renewable energy. This brings us to the end of the presentation, and we will now take your questions. Thank you.
Agata Wiktorow-Sobczuk: Thank you very much. We have a couple of questions that you have posted in the Q&A panel. So thank you for those questions. And I will read them as they were posted. The first 2 comes from Nora from Erste. I have 2 questions, please. Could you please elaborate on the technical costs? Will these continue to rise after the third quarter of 2025 due to network rollout expenses? If so, approximately until when?
Katarzyna Ostap-Tomann: As far as the technical costs are concerned, it's not only the rollout cost, rollout expense that we have there. We also have wholesale network access, which is -- which we use for our fixed line in Plus. So this is -- basically, these are the 2 components of the rising rollout cost -- the rising technical costs. As far as rollout is concerned, it will rise during 2026, definitely because we are expanding our 5G network.
Agata Wiktorow-Sobczuk: And second question, what is your expectation for EBITDA in 2026? Do you expect positive year-on-year dynamics in retail?
Katarzyna Ostap-Tomann: As far as EBITDA for 2026 is concerned, we are finishing at the moment our budget. So I won't be able to give you the specific details of what we expect for the consolidated EBITDA. We'll do everything that we can to have positive dynamics in the TMT segment.
Agata Wiktorow-Sobczuk: The next question comes from Bojan from ODDO BHF. Could you please provide a bit more details on your additional financing you've taken during the third quarter, type of debt volume, interest rate tenure?
Katarzyna Ostap-Tomann: So we're talking of the financing of Drzezewo wind farm, which was completed in August. It was a term loan with the consortium of 3 Polish financial institutions. It was PLN 874 million plus revolving loan of PLN 56 million and a small amount for recuring VAT. It's taken for 15 years at a variable rate.
Agata Wiktorow-Sobczuk: Three questions from Ali from HSBC. Can you talk about the multiplay additions? How much of this is new customers versus the existing subscriber base? And can you comment on the margin dilution impact from multiplay and how you offset or think about this?
Maciej Stec: Okay. When we talk about multiplay additions, in fact, it doesn't matter because it's included in our ARPU, which we report because you have dilution inside and growth also inside. So our ARPU in third quarter of 2025 increased by 4%. And first time, it was more than PLN 80. When you take a look at our new offering, it's more concentrated on total check per subscriber because in our new offering, you choose 2 services out of 4 basic services and you pay PLN 80. Then you add another service for PLN 30. So in fact, it's a very simple offering, which builds the ARPU and you can easily upgrade your offering. So first check is PLN 80. Next check is PLN 110. For 4 services, it's PLN 140. That's what we mentioned in the presentation. With new offering, we observed that we have more contracts done for 3 and more services. And in fact, it's 3 and 4 services. We observed in our offering -- in our data now that we triple such a transaction. So in fact, it's included in our ARPU, so you can develop your model according our ARPU easily.
Agata Wiktorow-Sobczuk: If energy prices were to remain at current low levels, what kind of EBITDA would the division generate in '26, '27 versus previous expectation, PLN 500 million.
Katarzyna Ostap-Tomann: It would be more or less PLN 400 million with the current prices.
Agata Wiktorow-Sobczuk: Margins in B2B and B2C continue to be challenging, revenues decline and inflationary cost growth. Could you give us any color on how you expect that to evolve over the next couple of years?
Katarzyna Ostap-Tomann: As far as the B2B and B2C margins for the foreseeable period are concerned, they are obviously challenging. But as Board of Directors, we do everything in our capacity in order to maintain the margins for the foreseeable future.
Maciej Stec: And that's what I presented in the B2C and B2B segment. When you take a look at the offering, so 53% of our base has 2 or more services. It means that 47% has only 1 service, which is important. So we can -- we have space here just to grow. But the second is more important when you take a look at saturation of RGUs per our multiplay subscribers is only 2.36 in the third quarter of 2025. In basic offering, we have 4 services and additional services, we have 3 or 4 more. So in total, we have 6 to 8 services just to sell to the households. So there is very big space and very big potential just to grow, especially with this new offering, which I explained previously, it was like that first, you pay PLN 80, PLN 110, PLN 140, PLN 170, PLN 200. So you can operate for the whole family and even your friends. So this is very easy just to upgrade our offering and you can choose your services in a flexible way.
Agata Wiktorow-Sobczuk: A follow-up from Nora. One more question, please. Does the reduction in recurring EBITDA in the Green Energy segment to PLN 400 million in 2026 also apply to subsequent years?
Katarzyna Ostap-Tomann: Look, it depends on the cost of energy. Actually, I'm sorry to say that I'm not a fortune teller to tell what the prices of energy will be in the subsequent years. The only thing I can tell you if the prices will maintain the level from today, I estimate future EBITDA is PLN 400 million. This is pure mathematics.
Maciej Stec: Yes. And this is for 2026 because we have outlook for 2026 because now we are contracting 2026 now. 2027 will be contracted on the base of next year energy pricing, and this is important how it operates. So you need to understand there is a delay with our revenues in this segment.
Agata Wiktorow-Sobczuk: And a question from [indiscernible]. Should we expect adjusted EBITDA to decline in the fourth quarter of 2025? What level of free cash flow should we expect in 2026?
Katarzyna Ostap-Tomann: As far as EBITDA is concerned for the whole 2025, the comparable EBITDA will be a bit lower than 2024. So that's more or less my estimation. As far as the free cash flow is concerned, it really depends on the working capital and mainly this depends on the cost of capital. So for 2026 at the moment, I won't be able to give you an estimate.
Agata Wiktorow-Sobczuk: And a follow-up from Bojan. Could you please give us a bit more clarity on workforce costs till the year-end and also implications for 2026?
Katarzyna Ostap-Tomann: In 2025, we have suffered an increase in workforce costs. This was partly to -- mainly this was due to the factors that we do not control. The increase on the minimum wage, that's the first thing. The other thing is still the press of inflation or impact of inflation on the workforce cost. So basically, what we expect in 2026 is lowering -- I mean, not lowering workforce cost, but lowering the increase. So the impact will not be so high in 2026 because we see both inflation and the press on the wages a bit lessening right now in the fourth quarter.
Agata Wiktorow-Sobczuk: That was the last question that we have. So thank you from my side for joining, and I will pass over to Andrzej.
Andrzej Abramczuk: Thank you, Agata. Thank you, Kacha and Maciej. Ladies and gentlemen, thank you very much for the participation in our quarterly conference. And let's see when we presented our yearly results. Thank you.
Katarzyna Ostap-Tomann: Thank you.
Maciej Stec: Thank you very much. Bye.